Operator: Good morning. My name is Krista, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Santos 2023 Full Year Results Webcast and Conference Call. [Operator Instructions] Thank you.
 I would now like to turn the conference over to Kevin Gallagher, Managing Director and Chief Executive Officer. Kevin, you may begin your conference. 
Kevin Gallagher: Thank you, and good morning, and welcome to our presentation of the Santos 2023 full year results. Joining me today is Chief Financial Officer, Anthea McKinnell. Anthea and I recorded a video presentation on today's results, which you can find on our website along with the presentation. We're not going to repeat the video presentation on this call. We will, however, be happy to take your questions.
 Before we do that, I'd like to start by acknowledging the traditional lands of the Kaurna people of the Adelaide Plains where I'm speaking from today. I pay my respects to the Elders past, present and emerging. I also acknowledge and recognize the support of traditional owners and indigenous people everywhere Santos operates, including our local communities in Papua New Guinea, Timor-Leste and Alaska.
 I'm pleased to present yet another solid set of financial results that demonstrate the success of our disciplined operating model. Santos continues to generate strong cash flow despite the challenging operating environment. I'd also [Technical Difficulty] to touch on some of the highlights from this result. In 2023, Santos generated sales revenue of $5.9 billion, EBITDAX of $4.1 billion. Free cash flow from operations of $2.1 billion and underlying profit of $1.4 billion. The Board has determined to pay a final dividend for the year of $569 million or USD 0.175 per share unfranked. We are pleased to continue to deliver strong cash returns to our shareholders while balancing the need to invest in our business.
 Our lost time injury rate has improved substantially since 2017. However, contractor safety performance has emerged as a key watch area, and we continue to work with our contractors to drive down injury rates across that workforce. Process safety performance is critical to our business. Always safe is a core value here at Santos. Our expectation is that, every day, everyone who works at Santos is focused on keeping themselves and their workmates safe and, of course, going home safely.
 Across the business has been a very busy year. At GLNG, the work we've done at Fairview on horizontal drilling is expected to deliver well productivity 15x higher than vertical wells have historically produced. GLNG also achieved a record 455 new well connections in 2023. And PNG, Angore continues to progress and 1 of 2 wells have been successfully drilled and completed. We continue to drive productivity and reliability in our operated PNG business with reliability post the Oil Search merger increasing significantly to more than 95%, delivering around 1 million barrels of incremental production in 2023. In the Cooper Basin, we drilled 108 wells and connected 96 in 2023, and we'll continue to chase higher production this year. In the Northern Territory, we shipped 7 Darwin LNG cargoes from Bayu-Undan over 2023. Bayu-Undan produced beyond expectations and continues to supply domestic gas into the Northern Territory. And in Western Australia, we extended the field life of Reindeer into the first half of 2024. In Alaska, the Pikka project is progressing and on track. Five wells have been drilled and flowback results from the first 2 wells are in line with pre-drill expectations. The Barossa gas project is on track. Since drilling recommenced in January, we've completed 1 well ahead of plan, and the second well is now in progress. Well flow test results are in line with pre-drill expectations with CO2 content at the low end of concentration expectations. More than 50% of the gas export line has been late and is 68% complete. We're making good progress with Barossa, and first gas is now only just around 18 months away.
 Our Santos Energy Solutions business continues to expand its project pipeline and is delivering on a suite of projects. The Moomba CCS project is now more than 80% complete. We have drilled 4 injection wells, and we expect to begin injecting CO2 later this year. Feed for the Bayu-Undan CCS project is now more than 86% complete, and we have signed 4 MOUs with potential customers and the Australian government has passed legislation to enable cross-border carbon transfer. In WA, we expect Reindeer CCS to be a customer-led project, and I am pleased to announce that we've moved into FEED.
 And finally, I am very excited about our Carbon Solutions business, which continues to progress projects in Australia, PNG and Alaska, where we are executing agreements with Alaskan landowners to generate nature-based carbon credits for our Pikka project. Santos has almost 4,000 landholder agreements, and we're working with a number of those landholders to identify high-quality nature-based opportunities to generate carbon credits. We are committed to achieving our net 0 Scope 1 and 2 emissions targets by 2040, and we are confident our disciplined approach to operating our business and allocating capital will deliver strong returns to shareholders over the long term. Our relenting focus on sticking to our strategy and implementing our disciplined operating model has delivered consistent results and kept the business resilient and performing strongly. We continue to generate strong free cash flows to maintain the strength of our balance sheet and to provide returns to our shareholders.
 Thank you. We're now happy to take questions. 
Operator: [Operator Instructions] Your first question comes from the line of James Byrne from Citi. 
James Byrne: First question on capital distributions to shareholders. So at the August results 6 months ago, the messaging was that we could expect a split between dividends and buybacks, obviously, today, just straight dividends. Could you perhaps give us some insight as to how the Board is thinking around dividends versus buybacks as part of capital distributions? And perhaps this is a little cheeky. Is there anything at the moment that might be precluding you from buying back your own shares at the moment, such as discussions around your strategic review? 
Kevin Gallagher: Well, so a couple of different questions in there, James, but let me try and dissect that and answer all the different points you raised. Well, first of all, the Board resolved to pay a dividend, as you saw, USD 0.175 per share. Back in the half year, we suspended the buyback at that point in time. And the Board paid a lower dividend at that point in time. And what we said then was that we'd be reviewing the macro, and obviously, Barossa was being delayed at that point as well. So we were kind of waiting to the full year and that we'd be looking to balance the final dividend or the final return to shareholders, I should say, with policy of 40% of free cash flow from operations being returned to shareholders. The Board have resolved to pay that as a dividend because they felt that was the best approach at this time to return or to give return to shareholders that it was more efficient to give them the cash now rather than the dividend over a longer period of time, and they'll continue to review the buybacks going forward. The buyback program, I should say, going forward.
 In terms of the second part to your question, I'm not sure what you meant in terms of being a bit cheeky. I would have thought cheeky giving me more returns than maybe I expect it to be something that would be a welcome cheeky. But nonetheless, I think you referred to a strategic review. What we said at our Investor Day in November is that, we were not doing a public strategic review that, in fact, we had advisers appointed. We've been working with those advisers and continue to work with those advisers to look at any opportunity. And, of course, we welcome shareholder feedback and opportunities or ideas to unlock or to create shareholder value, and that we'll continue working with our advisers to evaluate, develop and negotiate or implement any of those opportunities or ideas as we go forward. And then we would update the market when and if there's something to update them on rather than carry that out in the public domain. And that's what we've done over the past 8 years or so when we've announced other initiatives like the acquisitions or sell-downs have done previously on Barossa, et cetera. And so, we will continue to work in that manner. As you saw with the Woodside discussions that made into the public domain, we are more than willing and open to considering other opportunities if and when they become available, and we'll continue to do that.
 Hopefully that answered part of your question. 
James Byrne: Indeed. So, I guess, the second question I was going to have was, you've answered most of it really around strategic review, which I appreciate sort of downplaying as not doing a public one. But if you and your advisers work together and there's no outcome such as a sale of certain assets, for example, how do you think you'd like to communicate that to the market? Because today, I guess, there was a bit of an expectation in the market that there might be an update on that kind of activity. And there was nothing in the slide pack at all around it. So, I guess, the fear is, from my perspective, that we're kind of sitting here and there's no news flow until August. I'd just like to know how you'd like to communicate to the market even if there's no outcome. 
Kevin Gallagher: Well, my communication today is primarily focused on our full year results, James, and we have a lot on in the company. And I want this organization predominantly to stay focused on delivering on our strategy, delivering on our projects. We want to keep driving forward on Barossa, on Pikka. We want to bring on Moomba CCS in the second half of this year. And that's where I want the people inside the organization focusing their efforts.
 In terms of anything else structurally or otherwise, that we are doing corporately, we will update the market when it's appropriate to do so rather than speculate. 
Operator: Your next question comes from the line of James Redfern from Bank of America. 
James Redfern: Kevin and Anthea, I just had a continuation of James' question sort to belabor the point, but there has been quite a lot of discussion lately about unlocking shareholder value at Santos. And so, the focus is really developing Barossa and Pikka, which is great. But we understand that the merger talks with Woodside were recently terminated. I just want to confirm the proposal last year to potentially demerge Santos into LNG Co and demerge Co. I think you said that you didn't believe that was a good idea for Santos. So just want to rule that out as well. Just in terms of options to unlock shareholder value that's been talked about a lot. 
Kevin Gallagher: James, I don't think I commented on the merits of that proposal one way or the other publicly. What I said is that, we welcomed any suggestions and any ideas to unlock value. We're all in the same boat there. We want to do that and that we would evaluate all options. What we wouldn't do would be running a public strategic review process because, as you saw even in the more recent discussions with Woodside, that doesn't help facilitate those types of conversations. And our experience, they're better conducted confidentially. And when there's something to announce, we update the market when it's appropriate to do so. And in the meantime, we stay focused on delivering on our strategic plan. We believe that that plan will deliver significant shareholder value through the cycle and over the course of time. And we've got to stay very focused on that.
 And so, I'm pleased that we're able to deliver a strong dividend, but that strong dividend didn't come from 1 year's work or from 1 year's oil price. It came from building a portfolio over 8 years by implementing a disciplined operating model and leveraging off our assets and our synergies that we've delivered to drive production costs down over the past 8 years from where we were in 2016. And that takes a lot of work. And we're going to stay focused and say the organization to do that. And we know that when Barossa comes online in 2025, Pikka in '26, we know that our cash returns will go to a much stronger level from this portfolio, and we will drive our production cost down even further. And so, that's very much where our focus has to be inside the organization. But yes, we will continue to look at other opportunities that are identified or that come to us. And if there's something to provide an update on, we'll do that, as I say, when it's appropriate to do so. 
James Redfern: I appreciate the answer. Just 1 second question, please. Dorado start targeting FID in 2024. Just wondering, is there still a sell-down process underway for Dorado? 
Kevin Gallagher: James, when there's something to update the market on, we'll update it when appropriate when it comes to anything like that, sell-downs or whatever. All I'd say is, we've recycled that project. It's -- we're making it a better project. I'm confident we'll make it a better project. And we will work towards getting FID ready. We have made no commitments on taking FID. And we have said all along that we'll be very disciplined. We're going through a high CapEx process at this point in time. We're very focused on delivering on these projects. What we want to do when we come out of this CapEx cycle is not go back to these CapEx levels in terms of our all-in breakeven. We're very focused on going forward in a very disciplined opportunity, and Dorado will compete with other checks across the portfolio going forward, but we will not be doing them all at the same time. We'll be moving forward on developments in a very controlled manner. So whether that means sell-down, sellouts, whatever, we'll -- again, we'll evaluate those opportunities if and when it's right to do so, and then we'll update the market when appropriate. 
Operator: Your next question comes from the line of Mark Wiseman from Macquarie Group. 
Mark Wiseman: I had a question on the Cooper Basin. We saw your JV partner obviously take some impairments recently. The contribution from the asset seems to have come down a little. But, obviously, Beach with new leadership, with someone you know well, seems to be looking for cost opportunities and uplift in margins and so on. I was just wondering, do you see -- firstly, where do you see the Cooper Basin breakeven now? You are getting some better drilling results. But secondly, is there any change in the operating model in the Cooper Basin as a result of Beach really becoming a bit more dynamic with their leadership? 
Kevin Gallagher: Yes. Well, look, I mean, yes, I do know very well. And I'm really pleased to hear these comments over the course of the last week or so as it gets started in his new job. And Brett knows only too well that if he's looking to take cost out of things, that he's not an orphan in that world, and he's got a good ally here to talk to about cost out opportunities anytime. And I'm sure we'll work well together on that going forward. And I'm sure there will be opportunities for the 2 companies to work together to reduce cost across the Cooper. And we'll continually look at those opportunities, whether they be simply operating model type tweaks or whether they be structural opportunities there also.
 But look, the Cooper Basin has had a little bit of increased CapEx over the last year as we've electrified as we're spending money getting ready for the CCS project coming online. And the electrification there for the upstream satellites will result in additional gas -- sales gas as we burn less gas up at the upstream satellites instead run electric compressors, which will also give us higher reliability than gas-fired turbines out there. That in itself, again, will increase sales gap. You rightly point out we've had very good drilling results over the past year or so. And I've always said, the Cooper Basin has got to be viewed very much as you would view an unconventional type of assets. It's lots of wells. It's continual drilling, and it's about the number of wells, number of connections. It's a drill complete connect business, and it's just a factory approach. And when you do that, you get your costs as low as you can and you connect -- try and connect as many as you drill each year, you will drive that production up.
 We'll put some very good drilling results in the Granite Wash area, which is a new development area for us. And you saw we had very high well rates. I think we said at the Investor Day, testing well rates unconstrained around, I think it was about 8 million terajoules per day at that point in time. We're now looking to drill more of those wells this year, and that's long horizontal wells. That's one of the few areas in the Cooper Basin that's suitable for long horizontal wells. And what that allows us to do if we can get a few of them in the Cooper Basin and build a stronger base production level in the Cooper Basin. And so, we'll continue to do that with the Granite Wash, and we've got some other exciting opportunities around the Cooper.
 So look, I think the Cooper has got a long, long way to go. I mean, it's still got a high percentage of its reserves and resource in place still to be yet developed. We've got our Moomba CCS project coming on line there later this week. And -- this year, sorry. I wish it was this week, later this year, I'm sorry. And we look forward to that coming on and then making that a much lower carbon intensity asset as well. So they're a very bright future ahead of it. As you know, it's got very significant storage potential. We added 40 million tonnes of storage capacity, 2C storage capacity to the Cooper this year. And we've now got 140, I think it is, million tonnes of storage capacity in total in the Cooper, that's 2C. And so, yes, that's a very exciting position for us as we look to build the third-party carbon capture business in the years ahead. 
Mark Wiseman: I just wanted to ask as well on Slide 17, the committed major project CapEx really comes down more than we expected in 2025. How are you thinking about this next generation of FIDs, whether it be Dorado, Papua or Pikka Phase 2? Whilst you're doing the structural and strategic work, are you in a position to take FIDs on other assets? Or are you sort of in a zone where you won't necessarily commit to anything for a period of time? 
Kevin Gallagher: We're going to be disciplined, Mark, and what we commit to and the best horse will win the race, right? I mean, it's just -- it's a good position to have. And we're not going to look to do everything. We'll just do it in a disciplined way. I mean, when you say how do I look forward when I look at that chart, I look forward to higher margins in terms of lower all-in free cash flow break evens for the business. We know that '24, '25 were high CapEx years for the company. They were always committed to be high CapEx. Our sustaining CapEx is a bit higher over those 2 years because we've got decommissioning spend in there. And our growth CapEx is what you're referring to on this chart. But when we come out of that, we become a much lower capital intensity portfolio with much higher free cash flows from operations from those projects being online.
 The bulk of the spend in Barossa is this year. And so, next year the spend on Barossa is actually significantly lower. And that's what that chart represents. The predominant spend in 2025 that's committed to at this point in time is, of course, the Pikka project. But all those projects you mentioned, Dorado, Papua, et cetera, they will compete for capital, and we will set our ceiling for total capital expenditure going forward to make sure that we are a much less capital-intensive business, and we reap the benefits from the backfill and sustain opportunities that we're executing today. 
Operator: Your next question comes from the line of Saul Kavonic from MST Marquee. 
Saul Kavonic: A few questions, just wanted to come back to the capital management and the dividend payout today, which I think takes you to a 40% payout target for the year. I think when that capital management policy was originally announced, you talked about that coming from kind of the base business and that any asset sell-downs will enable additional shareholder returns. Given you've already got $350 million from the PNG sell-down, how come there hasn't been essentially shareholder returns over and above that 40% because it can look like you need to do these asset sell-downs just to meet the 40% target at this point? 
Kevin Gallagher: Well, look, I mean --. Saul, look, I think what the announcement you're talking about was when we announced the dividend policy, I think what the Board said at the time they would consider additional returns from any sell-downs -- asset sell-downs or whatever at that time with the usual qualifier around taking into account all the macro conditions and the situation, et cetera, et cetera. Obviously, Barossa delay of last year impacted our spend a bit last year. And the reality is that, the Board decided, given that it was such a large dividend, a strong dividend, a record dividend over the course of the year that, that was enough at this point in time. And to balance that with looking after the balance sheet and reinvesting in the projects that we're executing at this point in time, and we'll continue to do that. I mean, we're very confident that once Barossa comes online, particularly but then Pikka as well, that obviously our cash yields from the operating business become a lot stronger. And we're very confident that we'll be able to maintain that dividend as we build the -- or improve the cash yield of the business over time, just as we have done every couple of years, if you look back over the past 7 years or so, we just keep talking up that cash or yield from the operating business. And that's very much the approach we want to continue taking.
 I don't see it the same way that we have to do sell-downs to maintain the dividend. I mean, I think the dividend shows that the Board is confident in our future cash flows. And given the progress we're making on our projects, believes it is sustainable. 
Saul Kavonic: Second question, if I could just ask a little bit about the commissioning spend outlook. It's obviously doubled this year in guidance versus last year. But is it possible any indication of what that abandonment spend looks like from 2025 onwards? Because just like looking at kind of Wood Mackenzie numbers, you've got maybe $0.75 billion in Harriet, more than that at Barrow [indiscernible] in the next few years, is that [ OpEx ] likely to go up or down from 2024 levels over the next several years? 
Kevin Gallagher: Yes. Look, I think it's likely to see pretty steady through '25. So very similar and then come down considerably after '25 and be a lower level sort of each year through to the end second half of this decade, I would say, significantly lower after '25. So the big spend really is '24, '25, where we've got some larger decomm commitments, more of the sort of the big floating offshore equipment and wells to be decommissioned. But after that, in '25, it will drop off quite considerably to a much lower level and get the West back to being a stronger contributor across the portfolio. 
Operator: Your next question comes from the line of Tom Allen from UBS. 
Tom Allen: I had a few questions on PNG. I was hoping you could please share some more color on the drilling underfoot in PNG currently. It sounds as though the first of 2 wells that Angore has taken possibly 6 months longer than planned. Will the second well be drilled at Angore and the rig then move across to drill the Hides footwall as well? There's obviously a lot of reserve tied up in those fields. So if drilling doesn't proceed, how might the joint venture rejig the upstream supply plans for the project over the course of the decade? 
Kevin Gallagher: Look, Tom, the first well is now completed. You're right, there are a lot of drilling problems in that well, and you've been covering PNG for a long time. You know that the geology and the subsurface can be very challenging there. I learned a lot of lessons on that. And I hope that those lessons now will mean that we will see the drilling improvements in the second well. We've got the [ 13 ] 3H casing landed, which was one of the problematic issues on the first well. So we've got that. And really, once we sorted out the drilling issues on the other well, and we worked out a drill these sections, it went quite well in the end. And I know that sounds like a driller telling you that at the end of many months of delay and problems. But that's essentially what happened. Once it worked out and worked out to drill that section, it went quite well in the end. My -- I guess, we need to see if that replicate it on the second well. But so far, so good. It's going well. And we have been working with Exxon who are operating this well. We're working closely with them, our drilling group to have those after-action reviews and to review the drilling practices and stuff. And we're pretty confident that we've locked those learnings in. So I'm optimistic that we're going to see us catch back a bit of time now and Angore on.
 As for Hides footwall, I don't have any clarity on the time at which we'd be spudding that well yet. But you know we're very excited about that opportunity. And as our Exxon and we're keen to drill it as soon as we can because there are a lot of reserves there, as you know. 
Tom Allen: Okay. Santos has guided to higher upstream production costs this year. I just wanted to check in on the Papua LNG FID. So typically leading up to FID, there's obviously usually a detailed cost assumption review. And so, the question is, what's the production cost environment like in PNG? And what time frame is Papua tracking towards an FID? 
Kevin Gallagher: Well, look, I mean, I think you -- Total put an announcement out just last week saying they are still aiming to get FID ready by the end of this calendar year. And so, I can't really add anything to that. They're doing that upstream FEED work. My understanding is that, the midstream FEED work is going very well, Exxon, of course, managing that. So they're on track for that as well. So I can't really add to anything there.
 I'm not sure if you're asking about production costs and PNG or just production costs more generally. One of the things that I'm actually really proud of for the organization is that, contrary to inflation more generally and peers more globally, our production costs have come down consistently over the past 7 or 8 years. And our forecast would indicate that once Barossa and Pikka come on, we expect them to drop to around the $7 mark across the portfolio. And so, we stay very focused on cost. I mean, at the end of the day, this is a commodity business and your best protection and your best opportunity is to have that cost of production as low as you possibly can. And we continue to absorb the challenges of inflation. They are hitting us. We see that.
 Last year, of course, we got hurt a little bit by the late life production by London, and that's going to be high cost as volumes come off in late life. But outside of that, I'm pretty comfortable with the work the guys are doing to absorb inflation on an ongoing basis. That's a challenge. You won't be able to do that forever, but we continue to stay focused on driving those production costs whilst at the same time, not losing sight of safety and operational excellence. And if you look at loss of containment performance, we're still better than IOGP average. We saw a 63% reduction in moderate harm incidents compared to previous year and a 50% reduction in high potential events compared to 2022. So we're still very focused on the safety and integrity part of our operations.
 And so, given all of that, hopefully, that answers your question, but we're very focused on costs. I think also, if you look at our LNG costs, our average -- our weighted average cost of supply for our LNG across our LNG assets is somewhere between $2.50 and $2.75 per mmbtu, and we want to keep that down at those levels. That creates a real high-quality LNG portfolio and robust against swings in commodity prices. 
Operator: Your next question comes from the line of Nik Burns from Jarden Australia. 
Nik Burns: Kevin and Anthea, a couple of questions from me. First of all, just on PNG, again, and safety, security, et cetera, significant unrest in PNG over the last few weeks. I'm just wondering if that's causing any issues in relation to upstream operations. Can you just talk about what the joint venture is doing in that regard? 
Kevin Gallagher: Nik, I mean, it's a very serious issue, of course, when you see unrest. I mean, the unrest in Port Moresby, well, was very disturbing and concerning, didn't really threaten our operations. Our people were safe. We've got very strong security operation up there that monitors the situation real-time and we've got protocols and practices we put in place with our workers. In fact, during that particular event, we're able to let most of our workers work from home until things calm down and go back to a state of normality.
 The stuff more recently up in Highlands was a couple of hundred kilometers or so away from where we operate. So it's quite a distance away from us. We believe it was some tribal clashes. We monitor that very closely. We stay in contact with the authorities. We keep briefed, and we have our security operations reviewing the situation real-time. At this point in time, we see no elevated threat to our workforce. But, of course, we would monitor that. And at times, when there's anything like that, that crops up, we would put into place restrictions on folks traveling into and out of PNG, et cetera, for essential people only.
 First and foremost, what I should say, though, Nik, is first and foremost, we will prioritize the welfare and the safety of our people at all times. 
Nik Burns: I appreciate it. And just on Barossa LNG, I think you flagged here that CO2 levels on the first well towards the lower end of expectations. Can you give us an actual percentage number on that? Are we talking 14% or 15% reservoir CO2? And are you expecting CO2 content variability across the drilling? And just trying to think through what that means -- what this all means in terms of impact on lower reservoir emissions that need to be offset from day 1? 
Kevin Gallagher: Well, look, that's a great question, Nik. I mean, first of all, you might be right or you might not be right in the numbers and the ranges that you quoted there, but it's down at that end. And so, that has the potential to mean that we have significantly lower emissions over life this fuel. But it's too soon to say that or to determine that after 1 well. And we've got 6 wells to drill. And there's a lot of encouraging signs from this well, but we will have to wait and see over time and appraise that fully from the flow test information as we drill other wells. And so, we're going to be cautious and not jump ahead of ourselves here. I think that's important. But let's just say that we were encouraged by those results from the first well.
 What does it mean for the project? Well, it doesn't mean anything yet because of what I just said. But if that was to come true across the rest of the wells, then what that would mean would be less carbon to capture in store and less carbon to offset in the initial years of production, which would improve the IRRs of the project, obviously, because we'll look at that cost as an OpEx cost for the project, and that would reduce that OpEx cost quite considerably. 
Operator: Your next question comes from the line of Gordon Ramsay from RBC Capital Markets. 
Gordon Ramsay: Great results, Kevin. Just looking at your capital management policy going forward and the dividend and buyback kind of trade-off. We got it wrong before where we thought you do a higher dividend and you did a dividend and a buyback this time around, you've gone for a fewer dividends. So going forward, I'm just trying to understand if you can give us some guidance in terms of what the thinking is in the company. Should we be forecasting more returns going forward in the form of a dividend as opposed to a buyback? Or is it just going to vary each year? 
Kevin Gallagher: Well, look, Gordon, I'd love to give you a really definitive answer to that question, but I think you know what I'm going to say now, and that is that, the dividend or the buyback is a matter for the Board. And, of course, I have 1 vote in that conversation, but it's a matter for the Board, ultimately.
 Look, I think what I would say is, we're very focused on returns for shareholders. And what we have right now is, when we look at the size of the dividend, we want to provide shareholders both in Australia and internationally with a competitive dividend that makes us attractive to invest in. We look at the returns since 2016, '17 that we've given to shareholders. They total around USD 3.2 billion in that time frame, which ironically, I think is equivalent to what the market cap of the company was back then. And so, we're very focused on trying to maximize those returns for our shareholders. The Board will determine what they think is the best way to do that as we go forward. What was balancing giving strong returns to shareholders and sustaining those with managing the balance sheet and investing in the business. And we've got to balance all of those 3 things. So I can't be more definitive than that. But, obviously, I am pleased that the returns here resulted in a record dividend for Santos in our 70th year over the course of the full year. 
Operator: Your next question comes from the line of Henry Meyer from Goldman Sachs. 
Henry Meyer: Kevin, just a first question on gas market. You've called out a pretty strong 14% average slope on LNG at the moment. We're seeing spot prices start to compress a bit and expect a bit more of that to come in the second half of the decade with new supply coming through. Back in November, you're looking at a 25% target for spot exposure on LNG by the end of the decade. Is this still the right number in your view? Or are you looking at other opportunities to try and perhaps juggle that in the near term and open up that spot exposure a bit more back weighted towards the end of the decade? 
Kevin Gallagher: Henry, great question. I did say that, didn't I? I did say that I thought the right balance of the portfolio was about 75% contracted and 25% spot exposure. I probably said that when spot prices were really high, and we wanted to maximize, and that will happen again. There's nothing sure on the commodity cycle that it goes up and it goes down. And so, we do want to have a balance in our portfolio so that we positioned our LNG portfolio to take advantage of those upswings in the cycle and that we're robust in the downside. And that's why the cost of supply is so important to us and having an average weighted cost of supply around -- you can see from that chart around the sort of $2.50 mark is very important to us because, obviously, when it's that bit lower, that ensures that we still have and maintain strong margins across our LNG portfolio.
 The -- what we're not seeing here, just to be clear, is we're not seeing that the price -- the contracted price out there right now is around 14%. That's not what we're seeing. What we're seeing is, the weighted average slope of our contracted volumes are greater than 14%. We have a very high quality portfolio of LNG offtake contracts. And that's something that, again, with a low cost of supply and a high weighted average price across our portfolio creates really strong margins through the cycle. 
Henry Meyer: Got it. And a second question on Bayu-Undan CCS. You talked about the other growth projects like Dorado, Papua, maybe Narrabri competing for capital. Could you just confirm that Bayu-Undan CCS is competing for that same capital and that same return profile? And what's really needed with the scope you're looking at now through FEED as far as carbon pricing to get that return? 
Kevin Gallagher: Well, I'm very excited by our CCS portfolio, and more recently, I was excited to hear our Resources Minister, Madeleine King, with her counterpart from Timor-Leste announcing their support to work hard on developing the regulatory frameworks now to allow the Bayu-Undan project to proceed in a timely manner. So that was very exciting and very -- I was very encouraged to hear that only a couple of weeks ago. And, of course, late last year, the government -- the federal government here in Australia passed the legislation that enacts the London Protocol requirements allowing the transfer of CO2 across border between 2 countries as well. So that allows, not only as to export CO2 to buy London from Darwin. It also allows us to bring in CO2 from customer countries like Japan and Korea. And we have a number of interested parties. And in fact, interested parties who are looking at building CO2 export hubs in Japan to export CO2 to Australia to some of our projects. So we're building that book. We're building the momentum around these projects and particularly the international customer base, many of whom are LNG customers, right? So you can see the whole closed cycle aspect to this model. And, of course, that becomes more of a tolling model. And whether we get the credits or those exporting the CO2 get the credits, that's all yet to be determined. That's not clear. Either way, we'd be looking at carbon price exposure.
 What is the price required? Well, I can't really say what the prices required at this stage because we're still working through FEED on these projects. But ultimately, we are challenging these projects with the same return metrics as our other projects. So we're not looking to do these projects for lower rates of return than our other projects. And yes, ultimately, they are competing for the same capital. 
Anthea McKinnell: And maybe just to add to that, there is a -- as we look at these projects, Moomba and Bayu CCS particularly, there are pools of capital out there. There's a lot of interest in financing these assets. So while they do [ that screen ] according to our internal hurdles, there's also a lot of capital out there with an interest in funding energy transition projects, such as carbon capture storage. So I just thought that in. 
Kevin Gallagher: And you'd also see, Henry, I know you've been kind of muted there, I guess, but you'll also see that on Slide 10, we talk about within our Energy Solutions group, we have a Carbon Solutions team. And that's where our team are investing in nature -- high-quality nature-based projects. And I mentioned in my opening remarks, that we have almost 4,000 landholder agreements and relationships. And that's something that's quite unique to Santos, and not many companies in our position would have that many of such relationships and agreements, and that allows us to work with those landholders to identify high-quality nature-based project opportunities, many of which are with our indigenous partners, which create job opportunities with sustainable nature-based carbon credit generating projects. And that's where we can generate our own credits from those projects as well.
 So we don't only have the CCS projects and we're looking to grow them. And you can see it's initially a relatively modest levels of CO2 until later in the decade, and you can see it starts to ramp up, and that's our estimated start-up time for those projects, given the time to get the regulatory frameworks in place. But we also have high-quality nature-based projects where we have firm projects in the pipeline right now that would estimate delivering more than 2.5 million tonnes. These are sanctioned products per annum by 2030 and line of sight to projects that we deliver over 3.5 million tonnes per annum by 2030. And obviously, we want to keep working with our landholders and developing new opportunities, and get those volumes to be even higher. And that's not necessarily just for us to offset our emissions. That's so we can help our customers to offset their emissions. And we're very excited about that, particularly when we're targeting cost of supply for those high-quality credit units around the $15 to $25 mark. 
Operator: Your next question comes from the line of Dale Koenders from Barrenjoey. 
Dale Koenders: Two quick questions. Firstly, I might have missed it. What's the status of the Kumul sell-down process, given the disruption in country? You said it's access to balance sheet needs. I understand it's your option to cancel it if you want. Shareholders don't want you to do it. Why not just walk away from the distraction? 
Kevin Gallagher: Dale, I'm going to ask Anthea to give you an update on the sell-down process. 
Anthea McKinnell: No problem. So as we -- as you know, we did a partial close of the 2.6% at the end of January. It's open to Kumul then to complete that 2.6% sell-down, provided that can come up, obviously, with the financing for that. So that's something that they will need to do. The remaining 2.4%, which is their call option that they could call an additional 2.4%, will expire in June. So those options are out there. They're commitments we've made to the government and to Kumul and they're not things we'll walk away from. But I think that's the status. So, at the moment, Kumul are very much focused on completing that 2.6% as a priority. 
Dale Koenders: Okay. And then secondly, you've called out that the pipeline on Pikka is greater than 50% complete. I think from memory, this is the critical path. So if you've done more than half and winter is still going, could you potentially have it completed by this time next year and first oil in '25? 
Kevin Gallagher: Dale, just to be clear, the pipeline we're referring to there is on Barossa. It's more than 50% complete, not Pikka. But what I will say is that, the pipe laying, I think we call them stanchions, where we're putting in the frames, if you like, that will support the pipeline is going well. It's going very well. The guys are doing a good job in country. And you're right to point out that if we can get that productivity up to a certain level, that could make that a 2 winter program rather than a 3 winter program. Too soon to tell if we've achieved that yet. So we will review that at the end of this winter, which I think is another 6 weeks away or something that winter period, and we'll take stock of it then. But it's going well. The drilling is going very well. The well results have been very encouraging online with pre-drill expectations. And the seawater treatment plant has -- we've seen really high productivity on that as well. So all the major components of that project are going well. It looks pretty bloody cold out there that we'll have to say. It was minus 45. Bruce was telling me the other day, but the productivity is looking great. They're doing a good job. 
Operator: Your next question comes from the line of Sarah Kerr from Morgan Stanley. 
Sarah Kerr: Congratulations on the results. May I ask a cheeky question? Looking at Slide 11, this looks like it's mostly unchanged since your Investor Day in November last year. And I'm sure we'll get out the ruler and measure all those dotted boxes lines later tonight. The November slide had a ROACE guide of 15% to 20%. And the ROACE is still part of the LTIs in the REM report. So I was just wondering if there's any particular reason why that would be missing from the slide this year. 
Anthea McKinnell: No, there's no logic behind that. It's just -- this is the way we want to present the slide. We've certainly not moved away from anything we put into the market in November. It's more just to simplify. 
Sarah Kerr: Okay. And just staying on Slide 11. 
Kevin Gallagher: I'm just going to say nothing cheeky about that. 
Sarah Kerr: Okay. And just staying on Slide 11 because we love the slide so much. You have contributions from Moomba and other CCS projects. Can you give us any insights on the marketing strategy and the progress for those abatements? Obviously, you have a strong foundation customer. But perhaps you can let us know what your thoughts are on the trade-off between long-term customer contracts versus taking a view on certificate prices? 
Kevin Gallagher: By foundation customer, are you referring to ourselves? 
Sarah Kerr: Yes. 
Kevin Gallagher: Yes. Sorry, just clarifying that. Well, that's right. But also through the portfolio that we have in Australia, we have a number of assets that qualify as safeguard mechanism assets. And so, we are looking at various initiatives like electrification on these assets and other efficiency projects to drive down emissions on those projects, and they would generate safeguard mechanism credits. And we'd want to use those within our portfolio to offset any emissions or more difficult to capture emissions and free up as much of the [indiscernible] that we generate for other customers, whether they be our gas and LNG customers or manufacturers, for example, or LNG buyers. And so, we -- that's very much the logic we're applying to how we're marketing that business. And Alan and the team are developing and implementing those marketing strategies real-time. So we'll wait until the project is online. We'll see what we're generating, and we'll review that just as we do with other products, other commodities, and we're looking at carbon essentially as a commodity. And the reason we're viewing it that way is it really drives motivation across the business to capture every molecule of carbon we can to store it and create new revenue opportunities for our business. And so, we're setting that up as an incentive for all parts of our business to reduce those emissions. 
Operator: Your next question comes from the line of Saul Kavonic from MST Marquee. 
Saul Kavonic: I'm going to just try to squeeze 2 more in. I just wanted to come back to the early discussions and, I guess, the timing of the announcement of the cessation the discussions, which I think Woodside came about an hour earlier, which leads one to perhaps assume Woodside took the initiative to walk away. Any indication of why Woodside walked away here? And particularly just is there any risk that they might have seen something in that due diligence process which has caused them to walk away? 
Kevin Gallagher: Well, that's not what they've said, Saul. I don't know what they've said to you, but that's not what they've said. And we're not going to play out anything in public. The 2 sites just couldn't get there at the end of the day. But as I said earlier, from our perspective, it's in the past, and we are moving on. We are moving on. We will continue to look at other opportunities to unlock or create shareholder value whilst keeping our organization focused on delivering on our strategic plan. 
Saul Kavonic: All right. Fair enough. And my last question is, I was just looking through the scorecard in the REM report, I think the overall scorecard for 2023 was about 110%, so exceeding of the target. I venture to say perhaps most or all Santos shareholders are quite frustrated at the moment, and over the last couple of years. How do you justify management paying themselves above target REM when the shareholder base is so frustrated with performance over the recent history? 
Kevin Gallagher: Well, I think you have to look at broader than 1 year. I mean, the company gets measured on a balanced scorecard that has 4 components to it, and they get measured on those deliverables. And that's really a matter for the Board, Saul. The Board set the scorecard and the Board approve the final scorecard outcome scores. And, of course, they discuss that with shareholders annually, as you know.
 I think in terms of TSR, as much as our returns have been strong in dividends, the last couple of years, the share price has not outperformed, although last year, it performed significantly better than in 2022, of course, but that reflects itself more in LTI payouts. And you'll see the LTI payouts sort of a lot lower than the lowest in 4 or 5 years as a consequence of that. And I think that's where management are held more to account on TSR outcomes rather than operational outcomes. Yes. But in terms of the scorecard itself, that's really a matter for the Board. 
Operator: Your next question comes from the line of Gordon Ramsay from RBC Capital Markets. 
Gordon Ramsay: Just on the Kumul sell-down, Kevin, 30th of June, if the PNG government does not exercise its option for the remaining 2.4%, do you still intend to sell that? Or will you just hold on to the asset? 
Kevin Gallagher: Look, Gordon, I mean, right now, we're just focused on continuing to progress the Kumul sell-down as announced. We'd have no -- there's nothing to say about what we do after that if it doesn't progress, we only sell the 2.6%. We sell the 2.6%, we get on with business. And we'll enjoy the cash returns until there's something else that we want to announce. But if there's nothing to announce, then we just get on with business and we'll take the cash flows from that extra 2.4% equity in PNG. It's a great asset. It's a world-class asset. And I'm happy to own the 2.4%. 
Operator: And we have no further questions in our queue at this time. I will now turn the call back to Kevin Gallagher for closing remarks. 
Kevin Gallagher: Okay. Well, thank you, everyone, for listening in this morning. Again, I was pleased to announce a very strong set of results, and I look forward to catching up with many of you on our investor road shows over the next few weeks. So thank you very much. 
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.